Operator:
Matt Steinberg: Hi, good afternoon. This is Matt Steinberg, following up regarding Tessera Technologies' third quarter 2016 financial results. We apologize for experiencing technical difficulties on our end. I will now reintroduce Tessera's CEO, Tom Lacey, who will begin his prepared remarks. Tom?
Tom Lacey: Awesome. So, today after Halloween, I guess, you know, we are spooked a little bit. So, all right, we will call this Take 2. Here we go. Okay. So, whether live or via webcast recording, thank you for joining us on the call today. Robert and I are pleased to report another strong quarter, and we are very excited about the developments of the company. Let me begin with some highlights for Q3. We once again delivered another strong quarter of financial performance. Our Q3 revenue was $62.4 million, slightly above the midpoint of our guidance range. We achieved a non-GAAP operating margin of 65% and we exceeded earnings per share guidance. On September 20, we announced the transformational transaction with the execution of a merger agreement with DTS Incorporated, whereby Tessera will acquire DTS for a total equity value of approximately $850 million. I will provide an update on this transaction later in the call. During the quarter, our normally robust stock buybacks were less than our recent historical repurchase rate, in large part due to the pending DTS announcement. During Q3 we purchased approximately $6 million of our stock, and we paid a regularly quarterly dividend of $0.20 per share for approximately $10 million return to shareholders. Q3 represents our seventh consecutive quarter whereby our fully diluted share count has decreased from the previous quarter. Robert will provide more detail later in the call with respect to our overall capital allocation program. Next, let me provide an update on developments with our FotoNation, Invensas, and IP licensing efforts during the third quarter. Let me start with FotoNation. We continue to see computer vision and imaging as critical technologies for a variety of devices, from smartphones to drones, to activity cameras to cars. And we're well-positioned to capitalize on these attractive markets. In what we view as a significant event, we secured a design win with one of the world's leading Asia-based SOC providers for our imaging processing unit, which is expected to be in silicon in the next few quarters and into high-volume phones in late 2017 or 2018. Additionally during the quarter, we announced the design win with another leading Chinese cell phone manufacturer, OnePlus, a subsidiary of Oppo, the number four largest cell phone producer in the world. OnePlus has adopted FotoNation's high dynamic range, face beautification, and panorama technologies for its latest smartphone. We're very proud to expand our relationship with this top-five cell phone worldwide producer. Given our ongoing customer and ecosystem engagement, we remain steadfast that biometric authentication will become an important capability in future generations of smartphones and other devices. During the quarter we announced the introduction of both advanced iris and face recognition biometric-grade authentication solutions for cell phones. These new NIR-based solutions deliver authentication in the most challenging outdoor light and shade conditions, including liveliness detection even when the subject is wearing glasses. FotoNation's face recognition solution uses existing front-view selfie cameras to rapidly identify the subject in various light conditions and poses. These iris and face recognition technologies can deliver a more secure authentication and prevent false positives far better than existing fingerprint technologies. Turning to the automotive market, we continue to develop advanced intelligent vision solutions for automotive applications. Specifically, we continue to have strong engagement with Texas Instruments on our driver monitoring system. This technology enables the car to authenticate the driver, and can tell where the driver is looking. Amongst other things, this will enable the car to take action if the driver is falling asleep, texting, or somehow otherwise distracted. Finally, as we announced earlier today, we recently completed the purchase of certain assets from Pelican Imaging Corporation for $9.25 million. Pelican is a pre-revenue developer of multi-aperture imaging technologies. We received all of their approximate 200 U.S. patents and applications, all developed software and hardware technologies, and hired a small team of talented engineers. This acquisition will accelerate opportunities in mobile imaging with respect to multi-camera systems, and provide basis for differentiating work in the AR-VR space, and depth-based automotive applications. The technology enables DSL-like focus capabilities by utilizing depth information available due to multiple cameras. We are confident we will be able to apply our hardware RTL capabilities to produce the most powerful and battery-efficient solutions for important and large markets. Within Invensas, we're making good progress on further developing, optimizing, and commercializing our foundational wafer bond technologies, ZiBond, and direct bond interface or DBI. Presently, our ZiBond technology is recognized as the wafer-to-wafer bonding solution of choice for backside illuminated image sensors by Sony into more than one billion cell phones, and counting. Similarly, DBI hybrid bonding technology has now been scaled into high volume production and is poised to widely proliferate into the next generation of backside illuminated image sensors. By incorporating DBI into such image sensors expensive through-silicon vias can be eliminated, lowering manufacturing cost, and enhancing image sensor performance. On the commercialization front we are in discussions with multiple customers to license these enabling technologies for image sensors. With regard to expanding into new applications, such as MEMS and RF devices, DRAM, 2.5D logic, and 3D IC assemblies, we have been focused on bringing up internal wafer preparation and bonding capabilities as well as our supply chain to support our technology development and commercialization efforts. To that end, in September, we announced a license agreement with Fraunhofer, in Munich, a renowned research institute with world-class MEMS manufacturing capabilities which we can leverage to optimize ZiBond and DBI bonding processes on high-volume production compatible tools. This follows the agreement we announced with Fraunhofer Dresden late last year to demonstrate our DBI technology on their state-of-the-art 300 millimeter production line, and builds on complimentary collaborative efforts we have underway with other supply chain partners. In addition, we are actively engaged in technology demonstrations and license negotiations with several customers for non-image sensor applications. The progress to date is encouraging, and we look forward to providing updates on these developments in the future. Finally, we have observed steady progress on our die-to-wafer DBI development efforts, which will be important for 3D DRAM, and heterogeneous 2.5D and 3D IC products. We're confident that such an approach will readily address manufacturability challenges and performance limitations currently experienced when using current bonding techniques such as flip chip and thermal compression bonding. Thus, die-to-wafer development represents a significant opportunity for Invensas and our customers. Next, I'll give an update on our licensing activities. We continue to work on our greenfield licensing efforts. The greenfield term refers to potential customers that have not previously been directly licensed to Tessera intellectual property, we at a variety of stages with many potential customers. As announced in May, as a last resort we initiated legal proceedings against one of those companies, Broadcom. I'll provide an update on Broadcom later. We are currently engaged with many potential customers in multiple application spaces. These engagements can be lengthy spanning from initial discussions, technology demonstrations, to successful licensing, or if needed, initiation of litigation. Now, I'll give an update on our legal matters, where I'll provide case-by-case details. Let me begin with Broadcom. At a high level the cases remain on track, and are proceeding as expected. Now on to the details, in our Broadcom ITC proceedings the parties have been engaged in the discovery process, and a claimed construction hearing is scheduled for December 1, 2016. The ITC trial remains scheduled for March, 2017. In our Delaware actions the parties have also been engaging in discovery. The court heard Broadcom's motions to transfer venue to California, and those motions are currently under submission. The court also established a case schedule in one of the cases, setting a claimed construction hearing in August, 2017, the close of discovery in December [technical difficulty]
Operator: Ladies and gentlemen, this is the operator. We'll be resuming again shortly. Thank you.
Tom Lacey: All right. Here we go, Take 3. We are in Silicon Valley; apparently the phones don't work quite well. We are going to try to complete this call absolutely on a smartphone with FotoNation technology on that. How's that? Okay. Here we go. I'm going to pick up where I understand we left off, so within the investors update. So, with regards to expanding new applications such as MEMS and RF devices, DRAM, 2.5D Logic and 3IC assemblies, we have been focused on bringing up internal wafer preparation and bonding capabilities as well as our supply chain to support our technology development and commercialization efforts. To that end, in September, we announced a license agreement with Fraunhofer, in Munich, a renowned research institute with world-class MEMS manufacturing capabilities which we can leverage to optimize ZiBond and DBI bonding processes on high-volume production compatible tools. This follows the agreement we announced with Fraunhofer Dresden late last year to demonstrate our DBI technology on their state-of-the-art 300 millimeter production line, and builds on complimentary collaborative efforts we have underway with other supply chain partners. In addition, we are actively engaged in technology demonstrations and license negotiations with several customers for non-image sensor applications. The progress to date is encouraging, and we look forward to providing updates on these developments in the future. Finally, we have observed steady progress on our die-to-wafer DBI development efforts, which will be important for 3D DRAM, and heterogeneous 2.5D and 3D IC products. We're confident that such an approach will readily address manufacturability challenges and performance limitations currently experienced when using current bonding techniques such as flip chip and thermal compression bonding. Thus, die-to-wafer development represents a significant opportunity for Invensas and our customers. Next, I'll give an update on our licensing activities. We continue to work on our greenfield licensing efforts. The greenfield term refers to potential customers that have not previously been directly licensed to Tessera intellectual property, we at a variety of stages with many potential customers. As announced in May, as a last resort we initiated legal proceedings against one of those companies, Broadcom. I'll provide an update on Broadcom later. We are currently engaged with many potential customers in multiple application spaces. These engagements can be lengthy, spanning from initial discussions, technology demonstrations, to successful licensing, or if needed, initiation of litigation. Now, I'll give an update on our legal matters, where I'll provide case-by-case details. Let me begin with Broadcom. At a high level the cases remain on track, and are proceeding as expected. Now on to the details, in our Broadcom ITC proceedings the parties have been engaged in the discovery process, and a claimed construction hearing is scheduled for December 1, 2016. The ITC trial remains scheduled for March, 2017. In our Delaware actions the parties have also been engaging in discovery. The court heard Broadcom's motions to transfer venue to California, and those motions are currently under submission. The court also established a case schedule in one of the cases, setting a claimed construction hearing in August, 2017, the close of discovery in December, 2017, and trial in October, 2018. In Germany, Broadcom and its distributors answered on infringement compliance. And as typical in German proceedings, Broadcom's German affiliate filed a nullity action against the patent at issue in those proceedings. Trial in our German infringement matters remains scheduled for February, 2017. In the Netherlands, Broadcom and the other respondents' answer to the complaint is due November 9, 2016. The Dutch trial was rescheduled to November, 2017 due to a conflict with the ITC trial. Finally, Broadcom has filed petitions for Inter Parties Review or IPR against three of our patents, which is fairly standard practice in these types of cases. The patent office has not instituted the petitions, and no hearing dates have been set. Our preliminary responses will be due in January, 2017. We don't expect these IPRs to impact the ITC schedule for the European proceedings. In our Toshiba contract case, the court heard parties' motions for summary judgment on an issue of contract interpretation, and those motions are under submission. The close of fact discovery was yesterday, and next the parties will proceed to expert discovery. Trial is scheduled for June, 2017. In the TSMC OVT matter that we inherited when we acquired Ziptronix, the court scheduled the settlement conference for February 21, 2017. Finally, we successfully settled the insurance coverage case that I mentioned last quarter with our insurance carrier, St. Paul, agreeing to make a cash payment of $5 million to us, which we received in the third quarter. From an accounting perspective $5 million will not be treated as revenue, but instead will be applied as an offset against third quarter litigation expenses. Next, I'll provide an update on the DTS acquisition. For any of you who might be new to Tessera in the DTS acquisition, I encourage you to visit the Investors section of our Web site where we have posted extensive materials relating to this acquisition that's described as strategic and financial benefits of the transaction, detailed Q&A, and a conference call playback. I'm pleased to report that the acquisition remains on track. We received HSR early termination from the FTC. In addition, DTS commenced the mailing of the proxy statement on October 24, and their stockholder meeting is set for December 1, 2016. The related financing activities remain on track, and we expect to close the transaction in early December. Upon closing of the transaction we will announce a new company name to better reflect our combined capabilities, and a new ticker symbol under which we will trade. We're working closely with DTS on integration related activities. We have fully aligned ourselves with DTS on the importance of successful integration. My team and I continue to be extremely impressed with the DTS team, their professionalism, excitement over the transaction, and the diversity and depth of their business. Our overall integration approach is to minimize any disruptions to business, focused collaboration between our respective functions, communicate clearly to every stakeholder, and ultimately ensure every employee has crystal-clear roles and responsibilities. Removing uncertainty and ambiguity are keys to a successful integration, and we've already made a number of important organizational decisions, and have a detailed schedule in place to address all important remaining matters. The integration teamwork between the two companies is simply excellent. We are taking the right steps, and have the right people involved to successfully integrate our two companies, and I am confident that we will have minimal disruption as we operate the combined company from day 1 due to the excellent and proactive integration planning activities. I will now gladly turn the call over to Robert who will address our Q3 financials, our fiscal fourth quarter 2016 guidance, and other financial matters. Robert? You thought I'd never get there.
Robert Andersen: I was wondering. I've heard some of that before. I just want to say thank you to everyone on the call for your patience. I have to call in a couple of times, so we appreciate that. So as Tom noted, we generated financial results that demonstrated the strong earnings power of our business. And we continue to make progress on our strategic goals for the year. Let me provide some additional details on the financial performance in the quarter. Total revenue for the third quarter was $62.4 million, above the midpoint of the company's guidance range, and was 100% recurring revenue. Compared with the third quarter of 2015, recurring revenue decreased by $4 million or 6% primarily due to the timing of contractual arrangements for certain customers, and as previously mentioned a certain FotoNation customer reaching a unit-based cap on a prior contract. It is important to note that this FotoNation customer recently began shipping products under a contract that is no longer subject to this cap and with a higher per-unit royalty leg. Given FotoNation currently reports revenue one quarter in arrears, we anticipate that the full impact of the higher per-unit agreement will be seen beginning in 2017. GAAP operating expenses for the quarter were $27.8 million compared with $27.6 million for the third quarter of 2015. R&D expense for the quarter increased slightly from the third quarter of 2015, but was lower by $1.7 million from the second quarter of 2016. While we have been increasing R&D expenses primarily as a result of increased headcount, through the acquisition of Ziptronix and strategic hiring, the lower expenses on a sequential basis to the decreased spending within advances and as a result of a one-time credit of 0.6 million related to value-added tax refund. SG&A expense for the third quarter was 12.5 million, an increase of 1.6 million from the prior year. The increase is primarily attributable to an increase of 1.5 million in outside services related to our planned acquisition of DTS. The deal expenses were fundamentally flat in SG&A expenses year-over-year. Litigation expense for the third quarter was 0.6 million, a decrease of 2.4 million from the prior year, primarily due to credit of -- to litigation expense of 5 million from an insurance settlement which reimbursed certain litigation cost incurred in prior year. Excluding this credit, litigation expense would have been 5.6 million for the third quarter, an increase of 2.6 million from the third quarter of 2015, and up 0.3 million from the second quarter of 2016. The sequential increase from the second quarter was primarily due to increased activity in the Broadcom matters. Amortization expense for the quarter increased by 0.9 million from the third quarter of 2015, but was flat sequentially. The year-over-year increase was primarily due to the amortization of intangibles recorded from our Ziptronix in August 2015, as well as IP acquisitions over the past year. GAAP net income for the quarter was 23.8 million, or $0.48 per share on a diluted basis. Earnings per share exceeded the high-end of our Q3 guidance range of $0.39 to $0.41, mainly as a result of the St. Paul insurance settlement and lower than planned spending. Non-GAAP net income for the third quarter of 2016 was 28.6 million, or $0.57 per diluted share. The EPS number was above the high-end of our guidance range at $0.51 to $0.53 due to lower than planned spending. Non-GAAP expenses were 21.6 million for the third quarter, down from the second quarter expense of 22.9 million, due primarily to lower R&D spend. We've included the details of reconciliation between our GAAP and non-GAAP net income in both our earnings release and on our Web site for your reference. Moving to the balance sheet, we finished the quarter with 396.3 million in cash, cash equivalents and investments, an increase of 24.5 million from the prior quarter. Cash generation in the quarter more than offset the 6 million of common stock repurchases under our share repurchase program and the 9.7 million quarterly dividends. As Tom noted earlier, common stock repurchases in the quarter were similar to our stock repurchase program, and it totaled approximately 184,000 shares for an aggregate amount of 6 million reducing our quarterly weighted average diluted shares outstanding to 49.3 million, down about 4% year-to-date and down 6% from a year ago. As of September 30, we had approximately 158.2 million remaining under the current share repurchase program. On October 2016, the Board of Directors approved a regular quarterly dividend of $0.20 per share common stock on November 23, 2016, to shareholders of record on December 31, 2016. As a combined company, we plan to continue the payments of dividends on a quarterly basis. However, we plan to focus on debt pay down rather than stock repurchases for the first year following the transactions. Turning specifically to the DTS transaction, closing is now expected in early December, and as Tom noted, this is still subject to the approval of the DTS stockholders and other customary closing conditions. Financing for the transaction remains on track, we have committed financing to RBC Capital Markets and BMO Capital Markets, and are currently marketing a term loan B. The process is going very well, and we expect to wrap up commitments for the financing within the next week. Noted for clarity, let me provide some details on the impact of purchase accounting, the treatment of which is what we expected when we evaluated the deal. Similar to sort of Nation DTS currently recognize as much of its revenue based on the receipt of customer royalty reports for the prior quarter, that's recognized revenue a quarter. Under purchase accounting, we expect the DTS revenue after the close in December of 2016, and for Q1 in 2017 will be deemed to have already occurred, and will not flow through the income statement despite the receipt of cash for that revenue. Turning now to guidance for the fourth quarter, with regard to revenue for the fourth quarter of 2016, we expect total revenue to be between $70 million and $74 million. We expect GAAP earnings per share between $0.44 and $0.49, and non-GAAP earnings per share between $0.60 and $0.65. The guidance ranges exclude any DTS related revenue and cost, except for approximately $2.2 million of professional fees that will be incurred by Tessera on a GAAP basis regardless of whether the deal closes in the quarter. On the topic of announcing annual results, which we typically provide at the beginning of February. We anticipate the closing process for the 2016 fiscal year will take more time due to the magnitude of the DTS acquisition and its timing near the end of this year. As a result, we expect to announce our Q4 full-year 2016 earnings in mid-to-late February. And with that, let me turn the call back to you, Tom.
Tom Lacey: Robert, nice job, as always. That concludes our prepared remarks. I'm glad we were able to get through that, and now we'll turn it over to the operator for questions. Nicole, over to you.
Operator: [Operator Instructions] Your first question comes from the line of Krish Sankar from Merrill Lynch. Your line is open.
Krish Sankar: Yes, hi. Thanks for taking my question. I had a few of them. First one, Tom or Robert, when you look at the Q4 guidance should we assume the FotoNation, the legacy Tessera -- the semiconductor business, both or going to grow, or is one going to grow at the expense of the other, and what about episodic revenues in Q4?
Tom Lacey: So in terms of giving the guidance for Q4, we don't distinguish between the two, we'll call them operating units or the two different businesses that you noted, the IP business and the FotoNation business. Nor do we breakout recurring and episodic in our guidance. So we're just giving overall guidance figure.
Krish Sankar: All right. And a while ago, you guys said how there was no DRAM renewals this year. I'm just kind of curious. Is there any DRAM renewals coming up over the next 12 months?
Tom Lacey: Well, at the moment we're just giving Q4 guidance. And when we give guidance for the year for 2017, which we expect to do, as I noted in our February call, we'll give any color on renewals if any occur for 2017 at that time.
Krish Sankar: Got you. And then, I had a question on the DTS. Once the acquisition is closed, what kind of tax rate would the combined entity have?
Tom Lacey: Our tax rates -- our effective tax rates are not all that different at the moment. So ours is in the low 30s, as is theirs. So I think combining tax rates is fairly straightforward at the moment. I would target us in the low 30s.
Krish Sankar: Got it. All right, thanks guys.
Tom Lacey: Thanks Krish.
Operator: Your next question comes from the line of Gary Mobley from Benchmark. Your line is open.
Gary Mobley: Hi, guys. Hopefully you can hear me okay.
Tom Lacey: Yes, no problem, Gary.
Gary Mobley: I had a question about the materiality of purchase accounting rules relating to DTS's royalties. Could you refresh our memory? What is the mix in DTS's revenue with a contribution from royalty revenue? And can you give us a sense of the magnitude as we roll into the first three months of that acquisition how much of a haircut should we think about from DTS's revenue? I think the quarterly revenue for the company has been running somewhere between $45 million and $50 million. Are we talking about half or the majority of the revenue?
Tom Lacey: Yes, they have a bit of a mix. I think it's fair to say that the majority of the revenue is royalty related. And that you have some I guess minimum guaranteed contracts as well. But it'll be a big portion of it I would say that majority.
Gary Mobley: Okay. And you said that this issue was contemplated when you announced the acquisition and discussed the merits of it and the EPS accretion expected from it. And I don't know that you gave specifics on the EPS accretion from the acquisition, but I think many of us sort of honed in on that number about $0.80 of EPS accretion. Is that still a reasonable number in light of this purchase accounting headwind out of the gate?
Tom Lacey: So yes, I think most -- so yes, I think you're -- I've heard the $0.80 number. We didn't give anything exactly as we're obviously not giving 2017. Well, I didn't go into the purchase accounting when we did the announcement of the acquisition. But it's something that we had considered, and that we continue to review and it will certainly be an issue. I think the way I tend to think about it is we can't control purchase accounting. The deal is still very, very accretive for the year. However I think it's going to have an impact at least in the first quarter. Obviously we've still continued to collect the cash for that revenue. And I think that's probably the main driver for the business and how we looked at it. So it's been fortunate that that's how purchase accounting works, but I just wanted to make sure that people where thinking about the right way. Not every business has a royalty basis under which they're recognizing a revenue quarter in arrears, so that's something to take into consideration. We're certainly used to it from a FotoNation side.
Gary Mobley: Sure. Okay. That's helpful. With respect to Pelican, I'm assuming this is not a material acquisition. Can you maybe speak about any potential revenue contribution from the acquisition; when you might expect revenue, if we're talking pre-revenue here; how many employees you're bringing over; and any additional OpEx associated with it?
Tom Lacey: Yes, so it's four additional people. It's a small design team here in Silicon Valley. Super-excited to get these guys, these are absolute imaging experts who've been working on this technology for quite some time. As I mentioned on the prepared script maybe two or three times depending on how many times you heard it, Gary, let's be -- what we see as an advantage here is we can take some of this technology and put it into RTL, which ultimately puts it in silicon. So I would say the revenue would probably be out a year I think for most cases. There are some things we may be able to do in a software basis. But the way we're planning on it, we're planning on some additional R&D during 2017. And as we get further into this -- I mean, literally their first day was today, but as we get further into this we'll be able to give you more clarity on when we can expect to see material revenue from it.
Gary Mobley: Okay, all right. That's it from me. Thanks guys.
Tom Lacey: Thanks, Gary.
Operator: Your next question comes from the line of Nacy Galinkov [ph]. Your line is open.
Q – Unidentified Analyst: Hi, good afternoon guys. Can you hear me?
Tom Lacey: Yes.
Q – Unidentified Analyst: I was hoping that you could go back to the beginning of the script and just maybe do it one more time.
Tom Lacey: I'd love to. I have it memorized now.
Q – Unidentified Analyst: So Tom, last quarter and I think this quarter, too, you brought up iris biometrics, and the potential for design wins I think by mid-2017. So, can you go a little bit deeper into why you're so confident around the ability to bring some revenue in that initiative? And how you see the competitive landscape for you, and if you're going into an opportunity, why or why aren't you coming away with the win? Sort of what -- really where do you stand competitively?
Tom Lacey: Yes, a good series of questions. We didn't really mention it is because, number one, with all the focus around security and the importance of security -- oddly enough my phone right now has been into the store to the get the fingerprint sensors working. But I wish I had this biometric stuff on my own phone. But seriously, it has more -- it's more secure. So the technology is more secure, I think first and foremost. That's the reason. And we're seeing interest in it from a variety of industries, and in a number of customers, pretty broad set of customers that are looking at this. That's why we're confident it's going to happen. You're seeing some indications of it in some early cell phones today. And what we've managed to do is actually put it in a cell phone form factor. And we're able to go out to customers with an -- we could show you too, go out and show people it actually functioning in a smartphone. We think that's been proven to be very powerful. And we're obviously engaged with a number of folks that we think are important in this space. And we're certainly goaled -- our guys are goaled -- internal goals are to get those design wins, and we're progressing through that process. I think some of the things from a competitive perspective that are going in our favor; this liveliness detection is a big deal. What it means is, Matt, is if in some phones with this feature they hold up your picture it could authenticate your phone when it's actually obviously not you. So being able to do that -- to know that it's not a picture but it's actually a person. That's what they call liveliness detection, there's a huge competitive advantage. The other competitive advantage we have, and this is through years and years of being kind of face experts and eye experts, if you will, is we can do it in different lighting conditions. So it's one thing to do it in a well-lit internal room, it's a different thing to do it out in the sun. So these are some of the things we're seeing. And I think the other place we're seeing, as I mentioned, is in the -- sorry for the long answer, but is in the DMS side. So you're going to see more in-car cameras for driver monitoring systems, whether it's a child or an adult is texting, whether they're falling asleep, where they're looking, ultimately this will find its way tracking eyes, and doing things like eye gaze and some other technologies. And we have a high degree of interest in that space as well. So from a competitive perspective it seems like we're in a good position. But it's up to us to deliver the revenue as you rightfully called.
Q – Unidentified Analyst: Got it. And maybe just tagging onto that, in terms of the imaging deal you announced today, does any of that factor in or can that be applied to your biometrics and use that as the differentiator? And then, maybe the last question along those lines is how you're feeling about your, I guess, engineering horsepower in the imaging space and whether you see any competition as a whole?
Tom Lacey: So engineering horsepower, as you know, you've been following us a long time. We've continued to invest in that along the way. So we subsequently increased the investment, the number of people on the team. Pelican is another example of that; we're bringing in some heavy hitters in a specific area. With respect to how does it play with biometrics, it doesn't necessarily add anything that we don't already have on biometrics. It does deliver a big play and recall multi-camera apertures which enable depth -- I'm doing this with my hands, but depth focus, and gives you more DSLR-like focusing capabilities on a handheld device, as an example. And there are some other product ideas which I don't want to talk about at this point that we're already working on, we think to do in multiple form factors including in cell phone. Overall, we're pretty excited about the acquisitions, the people, the technology that we got with it, and certainly the patent portfolio is quite strong in what we think is pretty important and emerging area.
Q – Unidentified Analyst: Great. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Richard Shannon from Craig-Hallum. Your line is open.
Richard Shannon: Hi, Tom and Robert. Thanks for taking my questions. I'll have to apologize for jumping on the phone call late with a bunch of earnings here today, although it appears I didn't miss as much as maybe I normally would have.
Tom Lacey: Richard, your timing was perfect, I think.
Richard Shannon: Okay. Good. So a few questions here, hopefully I'm not repeating stuff you had in your prepared remarks, but let me just follow up on the topic of Pelican Imaging, two quick sub-questions there. I didn't have a chance to read your press release, but I'm vaguely familiar with Pelican, and it sounds like the capability there is, generally speaking, similar in nature to what Apple brought onto their latest iPhone generation with multi-aperture cameras. Is that in general the idea of -- or the area of technology we're talking about here?
Tom Lacey: Yes, and beyond. They have that technology and beyond. But yes.
Richard Shannon: Okay. And in one of the more recent questions that you responded to, Tom, you mentioned something about incorporating the technology into RTL, which I think is something you're doing related to some of your FotoNation technology. Is that something you'd put together in the same RTL package or they would be disparate offerings?
Tom Lacey: We can do it both ways; it depends on the level of integration. But we could do an IPU that captures that functionality or almost like a la carte, so we can do it either way.
Richard Shannon: Got it. Okay, that makes sense. Let's see here, maybe a question on FotoNation, and I think I jumped on just as there were some comments coming in on this topic here. But it sounds like the new contract is being recognized a quarter in arrears. But curious, relative to, I think, earlier this year you recorded a record quarter in FotoNation. With the new contract with the higher ASPs, is it possible to see a record quarter coming in the first or possibly second quarter, depending on the ramp of units from your customers with the new ASPs?
Tom Lacey: Yes, we would expect that, yes.
Richard Shannon: Okay. That's kind of what I thought. Two other quick questions from me, your guidance range for revenues in the fourth quarter is little bit wider than normal. Is there -- can you give us a sense of the reason for that wider range?
Robert Andersen: Well, I think actually probably we give a very narrow range on revenue guidance. So I wanted it a little bit this quarter, there are some puts and takes that I just wanted to make sure we had enough room to cover, but I'm certainly comfortable with that range and in the middle of it. I am well aware that that's what typically it's taken. Yes, the range is wider because there's some potential puts and takes in the numbers.
Richard Shannon: kay. Maybe I'll follow up with that off-line. My last quick question, Tom, I don't know if you had any sort of update on BVA. In the last couple quarters, you talked about ASE and Jabil that you've done some work with. Can you talk about any progress there?
Tom Lacey: Yes. So we the work with ASC continued and was completed, which was quite good. You are familiar with this, so I am not going into a deep dive on it, but we continue to promote the versatility of this particular technology in what I call manufacturing-ready vertical interconnect technology. In the best most recently, Richard, we found that it fits in SIP applications. So we tend to wet out these opportunities, and if and when appropriate, transfer them to the assemblers. That's ASC and Tong Hsing, right, that we already enabled with BVA technology. So, we will give you updates as it goes, but I don't want to jinx it, but there are some encouraging early feedback, given the election season from earlier precincts reporting, so…
Richard Shannon: Okay, sounds good. That's all my question guys, thank you very much.
Tom Lacey: All right. Thanks, Richard.
Operator: Your next question comes from the line of Geoff Hulme with Hulme Family Investments. Your line is open.
Geoff Hulme: Hi, Robert and Tom. Thanks for taking the question.
Robert Andersen: Hey, Geoff.
Geoff Hulme: A couple of questions on the FotoNation; congrats on the design win, I was just curious as can you say that was that MediaTech and I was curious if they were using another technology or how the technology decision was made kind of how the bake off went down and why you think you won? And then a follow-up.
Tom Lacey: It's a major Asia-based SOC provider zone, you know, it was probably more than one, we can't name it, but anyway we think it's significant. That's why we led with it. It's kind of the big deal. And it's similar to the process we have gone through in earnings design win here as we have done in other pretty major players is often you are up against -- it can be an internal design team and in some cases third-parties and it's pretty heavily vetted from a technical perspective. In our case it's hybrid architecture performance and the battery usage are always key factors, and I think SOC provider enabling and providing what we call an IPU architecture, but our imaging architecture really enables, maybe cell phone providers who aren't as skilled or don't have large internal design teams to produce very productive, very competitive products, if you will, by incorporating our silicon, we're pretty excited about it and it's a big deal.
Geoff Hulme: Okay. It sounds great. And then related to a previous question, is there a way to give just a basic range about what percentage of the FotoNation unit volume was re-priced with the new contract?
Robert Andersen: I don't know that we can give you anything particularly exact, what we have said is it's an important customer and therefore whereas worthwhile to mention, because of the significance. So I can't give you a specific…
Tom Lacey: It matters, obviously it matters, yes.
Geoff Hulme: So, just to review, so the shipping starts now and then we see the revenue impact in 2017?
Tom Lacey: Yes, you got them.
Robert Andersen: Yes. We expect the revenue impact to be much more significant beginning in 2017. So, you are correct. And it's similar to what I mentioned in terms of how we take revenue at FotoNation similar to DTS as a quarter in arrears.
Geoff Hulme: Okay. And we have lot of the DTS question, and we'll wait till you close.
Robert Andersen: You can bring it in, if we can answer, we will, sure…
Geoff Hulme: So, I was reviewing their documents, did they -- it seems like they get unit based royalties not so much -- and not subject to like cliff type renewals, is that -- what's the timeline for their contracts in general?
Robert Andersen: Similar to ours; it's all over the map. Yes.
Tom Lacey: It's all over the map, okay, so…
Tom Lacey: So what we will do is let us get into that level of detail when we actually are operating the business, SEC rules are such that you know, we are only able to talk to integrate activities at this time, but good question.
Geoff Hulme: No problem. And Robert, nice to see the share count in the 40s.
Robert Andersen: Thank you, Geoff. It looks good…
Geoff Hulme: Okay. Thanks. Take care.
Robert Andersen: Okay.
Operator: There are no further questions at this time. I will turn the call back over to management.
Tom Lacey: Nicole, thank you. And in closing, we are super-pleased with the operating results and the direction of the company. We are continuing to perform well, and I'm immensely proud of candidly the internally team and how they're operating under a variety of increases responsibilities, especially as we look at the integration plan with DTS. So, overall, thanks again for your interest. Sorry for the mix up on the drop-off on the phone call, and thanks for joining us.
Operator: This concludes today's call. You may now disconnect.